Operator: Good afternoon, and welcome to the Yext, Incorporated Fourth Quarter Fiscal 2020 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Dominic Paschel. Please go ahead.
Dominic Paschel: Thank you, Gary, and good afternoon, everyone. Welcome to Yext fourth quarter and full-year fiscal 2020 conference call. With me today are Howard Lerman, Founder and CEO of Yext; Steve Cakebread, CFO; and Jim Steele, President and Chief Revenue Officer. Before we begin, I'd like to remind everyone that this call may contain forward-looking statements, including statements about revenue and non-GAAP net income guidance, cash flow, retention rates, market opportunities, business performance and other non-historical statements as further described in our press release. These forward-looking statements are subject to certain risks, uncertainties and assumptions, including those related to Yext's growth, evolution of our industry, product development and success, including with Answers and general economic and business conditions such as the impact of coronavirus. These statements reflect the Company's current expectations based on its beliefs, assumptions and information currently available to it. Although we believe these expectations are reasonable, we undertake no obligation to revise any statements to reflect changes that occur after this call. Descriptions of these and other risks that could cause actual results to differ materially from these forward-looking statements are discussed in our reports filed with the SEC, including our most recent quarterly and annual reports, and our press release that we've issued this afternoon. During the call, we also refer to non-GAAP financial measures. Reconciliations with the most comparable GAAP measures are also available in the press release, which is on investor.yext.com. With that, I will turn the call over to Howard.
Howard Lerman: Thank you, Dom. Hello, everyone, and welcome to our fourth quarter and full fiscal year 2020 earnings call. We had great sales in Q4. We launched successful products in Q4 and we executed well in Q4. Let's start with sales. Q4 was the best quarter in the history of the company. Revenue came in at $81.4 million, growing 28% over the fourth quarter of last year. Revenue for the full fiscal year was $298.8 million, growing 31% over fiscal 2019. Unearned revenue was $176.8 million, growing at 30% year-over-year. The number of structured facts, an indication of engagement and usage exceeded $277 million, which grew 49% from the year-ago quarter. And during the quarter, we signed the largest international enterprise deal in the history of the company with Accor Hotels, the single largest hospitality company in Europe and sixth largest worldwide with more than 4,800 hotels. During Q4, we also signed contracts with leading brands like First Citizens Bank, Good Year Tire, The Vanguard Group, and we expand and renewed contracts with amazing brands like Great Clips and Hilton and Wendy's. We had some major product highlights with our breakthrough new site search product Yext Answers. We officially launched the Answers on the last day of Q3 at ONWARD 2019. Q4 was our first full quarter selling this brand-new product, and we sold 29 new Answers deals for more than $1.5 million in new ACV. These are very impressive results from just our first selling quarter in a brand-new product category. And so far, the feedback from customers has been overwhelmingly positive. IHA, one of our first Answers customers has been live for a little bit more than three months and has seen expected and unexpected positive results. According to IHA, depending on the month, they typically see between 4% and 7% of their visitors to their online appointment scheduling tool make it to the visiting confirmation page – the visit confirmation page. So the traffic that IHA has been referred from Yext Answers and Pages, that rate is between 24% and 28% for the past three months, representing a 400% increase in online appointment conversions. Take a look at another example; BBVA USA, Director of Digital Platforms, Steve Creel said that being part of Answers beta was a no-brainer given BBVA's focus on using technology as a key competitive advantage. Answers provide BBVA customers with details on over 50,000 ATMs, 600 branches and much more. Steve Creel also said, Answers will help the bank reduce the call volume that customer service team receives with the resulting impact being increased net promoter scores, decreased cost of support and more satisfied customers. Now some people have said, "No one uses site search." But the number of searches we're seeing come through our platform is stunning. With only a limited set of early clients, Answers customers are already achieving an annualized run rate of more than 11 million searches per year. And remember, these queries are all commercial. It's a user or a consumer asking a business a question and getting a correct answer. In the past, site search gave back junky results and so the user bounced back to Google and the brand would lose control of the customer journey. But Answers uses NLP, Natural Language Processing to meet the consumer's expectation with an answer from our clients' knowledge graph. Now the best proxy for whether the Answer is correct is, whether the user engaged with the Answer with a click or conversion. And these same early customers are already seeing an annualized run rate of nearly 7 million clicks a year. And best of all, since the user had their expectations met, support costs are lower. They are more likely to come back directly to the brand's website when they have more questions. A large Fortune 500 telecommunications company was one of the latest customers live on Yext Answers. And on a Sunday, they saw more than 16,000 searches with more than 10,000 clicks, and annualized that would be more than 5 million searches and 3 million clicks. We had some other product features in the fourth quarter. We launched our conversion tracking feature at ONWARD. This lets our customers see the specific sales and transactions they are getting from the Search Experience Cloud from their Listings, Pages and Answers. It makes it simple to see the stunning ROI of Yext and gives customers great insights into which intents are highest for their business. Thus far, 460 customers have turned on conversion tracking, including Church's Chicken, Massage Envy and Earl Enterprises, and the results are nothing short of phenomenal. Massage Envy estimates they have seen over $7 million of revenue in the first 30 days flow through Yext, and that's nearly $85 million annualized. Great sales, great product traction, great execution. Looking forward, we are excited about the fact that we hit our hiring goal. We ended Q4 with nearly 250 quota-carrying sales reps, that's up approximately 42% year-over-year. And in addition to starting our next fiscal year with the largest sales organization in our history, it is also by far the most experienced and tenured set of reps we've ever had. And that's important because we're pioneering a new category within expanding platform and becoming viewed as an increasingly strategic marketing technology partner to our customers. We have hit new product in a huge and growing market. We are competing in a more than $20 billion category, including Digital Experience Platforms or DXP as the Search Experience Cloud company. Our customers are seeing extraordinary success with DX platform and our customer count now exceeds 1,900, up 38% year-over-year. To-date, we stand at a pivotal time in the future of the Internet. Trust is at stake. People are distressful of the information they find online. And meanwhile, there’ve been significant technical breakthroughs in NLP that make it possible for computers to understand humans and give answers. But the computers are being fed a bunch of garbage from people like, Todd Munion, the character from our brand campaign. AI is powerful, but garbage in, garbage out. Yext’s accounting principles that the authority on facts about a business is the business itself and 12 years later that exact principle still holds. For the past decade, we've been helping brands put more truth online, which has enabled them to build more trust and drive more business with their customers. Today, that matters more than ever. Now before I hand the call over to Jim, I want to talk about something on everyone's mind, that's COVID-19 or the coronavirus. We are closely monitoring the situation and focus on two things. First on our employee safety and second, on customer continuity. As a Search Experience Cloud company, we handle millions of searches through pages for tens of millions of searches for thousands of hospital systems and doctors around the globe. Healthcare is our second biggest category, and over the past 72 hours, we've seen a spike in COVID-19 related search terms. People are asking questions like, I have a slight cough, do I have coronavirus? Or here's another one. Schedule a flu shot to protect me from coronavirus. Now it would not be good if people started flooding hospitals unnecessarily or asking questions that could be answered digitally. So we have created a special group to help our healthcare customers and all of our customers answer questions about this virus. Every time our product provides an Answer, we free up resources for someone in need, which relieves the burden on healthcare systems in the United States and around the world. Our guiding principle during this and any crisis is to ensure that when people have questions, our customers can answer them. We had a great Q4. Crisp execution, a strong initial quarter with the Answers record sales. To talk more about our record sales, I'm going to turn the call over to our President and CRO, Jim Steele.
James Steele: Thanks Howard. As you just heard, we plan to help our customers in our unique way during this uncertain time. We also know that every vertical, not just healthcare will undoubtedly see an uptick in customers seeking answers about their businesses as it pertains to the coronavirus and we're armed and ready to help them deliver that information accurately and swiftly. Now switching gears to the business at hand. As Howard said, we had a great Q4. It was the best quarter that I've experienced at Yext in my 3.5 years with Yext. We closed 236 deals with at least a $100,000 in total contract value versus 169 in the same period last year. That's 40% more, including 25 deals that resulted in at least $1 million of total contract value, including new logos and renewals of existing customers. The total number of customers increased 38% year-over-year to now over 1,900. This excludes our SMB and third-party reseller customers. Demand for Yext products was strong across the board. Our customers are really starting to see the value of our multi-product platform offering. First Citizens and Goodyear were both platforms deals. Chuck E. Cheese purchased Listings and Pages. Edible Arrangements are Listings product, while Vanguard Investments purchased Pages and Answers. We entered Q1 with a strong pipeline across the organization. We also had several significant annualized renewals that exceeded $1 million during the quarter, including Advance Auto Parts, Dunkin' Brands, McDonald's, T-Mobile, and Verizon. Strong execution on our land and expand strategy and continued demand for the Yext platform resulted in expanded relationships with Chipotle, Cox, Great Clips, Hilton, Sephora, and Wendy's. As Howard noted, we hit our hiring goal for quota-carrying sales reps. We ended the year with nearly 250 quota-carrying sales reps, an increase of 42% from the year-ago period. This puts us in a really great position to start the year. We also see great growth in our Europe business. We closed the largest enterprise deal in the history of Yext internationally with Accor Hotels, as Howard mentioned. We also added logos such as Alshaya, Furla, Fendi, Lavazza, Societe Generale and Moncler and significant expansions at Luxottica, Chanel and Gucci. Japan's most impactful deals this quarter were TEPCO and Nagase Brothers, and we continue to see strong growth in our enterprise opportunity there as we invest in Japan. We have also seen strong momentum in our customer success offerings under the leadership of Mary Fratto Rowe, supporting our retention, upsell and cross-selling efforts. Our professional services revenue for FY2020 grew 83% year-over-year from $8.8 million to $16.2 million and now accounts for approximately 5% of our total revenue. We have a platform of solid products, marketing, sales enablement, and the most tenured sales team in Yext history to realize their full potential. So now I'll turn the call over to Steve to walk you through the quarter in more detail. Steve?
Steven Cakebread: Thanks, Jim. We had a great fourth quarter. Our fourth quarter revenue grew 28% to $81.4 million. Revenue excluding small business customers grew 30.4% continuing to highlight the increasing role of our enterprise and mid-market investments. For the full-year fiscal year 2020, our revenue grew to $298.8 million, an increase of 31% from last year. Our fourth quarter international revenue grew 53% to $15 million and our full-year fiscal year 2020 international revenue grew 72% to $53 million and now accounts for 18% of our full-year revenue. Unearned revenue increased 30% from a year-ago period to $176.8 million. And as of January 31, we had $328 million in Remaining Performance Obligations, or RPO. But keep in mind, as customers with longer contracts kind of come up for renewal, RPO will naturally decline until they renew again. As an example, and making the math simple, if we had a customer with a large five-year contract worth $50 million, first year RPO is $50 million, the next year is $40 million and subsequent years declined $10 million in RPO every year until the contract comes to renew again. So we've said we would provide ARR rather than discuss calculated billings any further. So to that end, annual recurring revenue, ARR at the end of the fourth quarter fiscal year 2020 amounted to more than $326 million. That's growing approximately 29% year-over-year from approximately $250 million at the end of the fourth quarter fiscal year 2019. Our net dollar-based retention which excludes our small business customers' was 106% and our net dollar-based retention for what we now refer to as our direct enterprise, which excludes SMB and direct partner reseller customers was 108%. Because it's a trailing 12-month number, some mergers and changes to direct sales to resellers continue to impact this number as well as some downsizing of our direct customers as business restructure operations. Gross margins were 74.3% this quarter compared to 75.5% in the fourth quarter last year, and the full-year gross margin was 74.2% when compared to 74.9% last year. The change in gross margin was driven in part by hiring in our services organization and as we've described lease expenses for the fourth quarter and full fiscal year. Total OpEx increased from $64.3 million in the fourth quarter last year to $91 million this quarter. The primary drivers of this increase was the overall growth in headcount, including the increase our quota-carrying sales reps along with the new leases in New York just ticked up Columbia and London. Our OpEx for the full-year increased 39.8% from the last fiscal year. And keep in mind, we'll be incurring double lease expense in New York until our One Madison Avenue lease expires in December 2020. Specifically, the annual run rate for our lease at One Madison Avenue is $4.8 million per year, while the annual run rate at 61 Ninth Avenue is $10.3 million. Between the two, it's a $15.1 million expense for fiscal year 2021. Once our lease at One Madison expires at the end of December 2020, our run rate for New York lease will drop to $10.3 million annually. For fiscal 2020, it was a building year in terms of putting physical infrastructure and sales capacity in place. We expect to realize normal operating leverages as we make our business more efficient and scale going forward. For the fourth quarter, net loss increased from $15.5 million a year-ago to $30.6 million this quarter. On the basis of our 115.2 million weighted-average basic shares outstanding net loss per share of $0.27 this quarter compares to a $0.15 loss a year-ago on the basis of $101.4 million weighted-average basic shares outstanding last year. For full-year 2020, net loss increased from $74.8 million last year to a loss of $121.5 million this year. On the basis of our $111.8 million weighted-average basic shares outstanding, our net loss per share of a $1.09 compares to $0.76 loss last year on the basis of 98.4 million weighted-average basic shares outstanding. On a non-GAAP net loss basis, excluding stock-based compensation that increased from $3.2 million a year-ago to $13.7 million this quarter, and our non-GAAP net loss of $0.12 per share this quarter compares to $0.03 in the year-ago quarter. On a full-year non-GAAP net loss excluding stock-based comp was $53.8 million compared to $30.6 million in fiscal year 2019. Our non-GAAP net loss of $0.48 per share this year compares to $0.31 in fiscal year 2019. So please refer to the press release we issued this afternoon for a reconciliation of GAAP to non-GAAP. Cash and cash equivalents were $256.1 million as of January 30, 2020. Net cash provided by operations for the fourth quarter was a positive $11.7 million as compared to net cash provided by operations of $30.8 million in the year period. Net cash used in operations for the full-year was $30.8 million as compared to net cash provided by operations of $5.2 million last year. We've been cash flow positive for three quarters over the last eight quarters and were cash flow positive for the full-year of fiscal 2019. Fiscal year 2021 will be impacted by leases in hiring, but we're continuing to drive towards cash flow breakeven. Turning to guidance. The guidance we are providing assumes business as usual for the coming year. Keeping in mind, this is our first guidance for fiscal year 2021 and a majority of our bookings occur in the second half, it does not consider the unknown impacts that we might experience given the COVID-9 virus. We're monitoring the various countries we do business in and have started contingency planning to protect our employees and our business, should the virus become significantly worse. So as to guidance. In the first quarter, we expect revenue to be between $85 million and $87 million. In the same period, we anticipate non-GAAP loss per share of between $0.14 and $0.11, which reflects the impact of a loss of $0.01 from our legacy lease agreements in New York and DC. This also assumes a weighted-average basic share count of approximately 116.7 million shares. Turning to the full-year. We expect $378 million to $382 million in revenue. Our non-GAAP loss per share range is expected to be in the range of $0.50 to $0.45. Keeping in mind, this includes $0.04 per share loss from the impact of our legacy lease agreements in New York and DC. This is assuming a basic weighted-average share count of approximately 119.5 million shares. With that, let me turn the call back to Howard.
Howard Lerman: Thank you, Steve. Before we open up for your questions, I wanted to take a minute to welcome Seth Waugh, as the newest member of Yext's Board of Directors. Seth is an incredible leader. He steered iconic organizations from the PGA of America to two of the world's largest banks, Deutsche Bank and Merrill Lynch and as a Managing Director at Silver Lake. We are proud to welcome Seth to our Board of Directors and our newest member of the Audit Committee.
Dominic Paschel: Thank you, Howard. Gary, can we please open the questions?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Mark Murphy with JPMorgan. Please go ahead.
Mark Murphy: Yes, thank you very much. Congrats on a very nice rebound and strong finish to the year. Howard, as well as Jim, I wanted to ask you if the success continues to grow with the Answers product, do you have any estimate of what percentage of revenue it could become a few years down the road? And how would it affect retention rates, if it is driving revenue-generating traffic the way you described?
Howard Lerman: Well, thanks, Mark. It's kind of hard to peel apart what is an Answers only deal because customers typically purchase platform. We see – we're starting to see Answers-led deals. Remember, customers now, for the first time, if you don't have locations or stores, you can buy our Answers product. And so any business of a website can purchase Answers. And so a lot of times, what happens, what we're seeing is that a customer will purchase Answers, put that ACV on the SKU, but it will also come along with a purchase of the rest of our platform, including Pages. So we look kind of not just at the number of Answers deals, but the Answers influenced deals. And over time, I think you'll see a majority of our customer deals, including Answers.
James Steele: If I can just – hey, Mark, this is Jim Steele. Just to add to that we are starting to see a very high attach rate. It's not just Answers only, but Pages as well comes along with Answers. What we're seeing is companies like – I think, we talked about this company 16 Handles in Q3, it's a yogurt company with like 30 stores in New York. And they use Pages, basically – Pages to attract the customers to their website to find the discoverability and interest in their products and services. And then they use Pages – sorry, Answers to basically capture that transaction on their website. So it's really that we're seeing both of those products kind of hand-in-hand with many of our customers.
Mark Murphy: Thank you for that. As well, I noticed that I think Dominic had added coronavirus to the risk factors at the start of the call. Steve, you acknowledged that as well. And Howard, I understand, you also laid out how it seems like it's a positive catalyst and a positive driver in some cases. I'm curious, just do you expect the spread of the virus to have an adverse impact at all on consumer behavior, if people are traveling less, maybe they're staying inside, working from home. Is there any reason to think that they would do less searching for physical store locations or the hours of operation or something like that? I mean, in the unfortunate event, if we end up with stores being closed or malls being closed, if it gets to that point?
Howard Lerman: Well, first off, we're not biologists. We're not pandemic global experts. What we can say is how we see our customers using our platform. And given our unique positioning as Search Experience Cloud company, we can see what people are searching for. Like I said, we've already seen a spike in searches for coronavirus, COVID-19, does the flu shot protect against this. Remember, healthcare is our second largest category. And so where do people turn when they have questions about a virus? Well, it's often to their hospital system or to their doctor. To the extent that we can help facilitate the answering of those questions, our intention here is to use our platform in a way that benefits the global health system during this time of crisis or potential crisis. So we actually were holding a call on Friday with our customers, our healthcare customers. We're going to be helping create a custom knowledge graph that's based off of answers from the CDC that will appear in healthcare accounts. Customers will be able to add that at no charge, if they want to be able to answer these questions. By the way, to your question about, are there going to be store closings? Or are there going be stockpiling of things like masks? Once again, you might see the Yext platform used to help communicate these types of things. So I don't think you're going to see any degradation of people searching for things. In fact, I would argue that it's possible people are going to have more questions. And wherever the consumer has a question we want to be there to help provide that answer for our customers.
Mark Murphy: Thank you very much.
Howard Lerman: Thank you.
Operator: The next question is from Naved Khan with SunTrust. Please go ahead.
Naved Khan: Yes. Thanks a lot and congrats on the quarter. A few questions. So just kind of rewinding the tape a little bit. So Q3, I think you guys had some issues with the launch of Answers kind of affecting the sales cycle. Is that fully resolved? Or do you think there's scope for more improvement in the sales cycle? And then just on the Answers attach rate, maybe can you shed some light on what kind of attach you saw in the new sales and the renewals in the last quarter? And then I have a follow-up.
Howard Lerman: So at this point, I think in Q3, we said that Answers slowed down because we took reps off the field. We disrupted deal cycles where customers were along our purchase pattern, and then we come up with a new product, and they may want to delay their purchase and get that included. At this point, we feel that our deal cycles and sales cycles are back on track. I think the results in Q4 that we showed prove that. And then you asked what the attach rates were? We haven't disclosed that specifically, although I think we did say that we closed 29 new Answers deals for more than $1.5 million of new ACV. This is our first quarter in this new category. It's a pretty exciting category to be in. And over time, we're going to start to see, I believe, an increased attach rate of Answers with Answers-led deals to our Search Experience Cloud platform.
Naved Khan: And in terms of just the ACV comment, are you seeing kind of a meaningful lift in the ACV with the Answers included versus not included?
James Steele: Yes. Hey Naved, Jim Steele. We are seeing – especially, in mid-market, we're seeing a sizable increase in the deal size and, actually, a shortened sales cycle. Answers is very compelling.
Naved Khan: It's good to hear. So the follow-up question I had was just around the headcount. So it looks like between Q3 and Q4, hiring slowed a bit. How are you thinking about headcount for 2021? And what's the right way to think about this?
Howard Lerman: Well, I think part of why Q4 always does slowdown naturally because we get busy in trying to close deals. We also, in the team, start to look at performance and what we need for next year. So that's not surprising at all. We definitely have the capacity to get us through this year and into next – into the following fiscal year. So that's part of it. I think, as we said, we're still seeing good, strong business, but we're also watching the global economy and seeing what we're doing there, but we are still hiring people, primarily salespeople and developers.
Naved Khan: Great. Thank you.
Operator: The next question is from Mark Mahaney with RBC. Please go ahead.
Mark Mahaney: I think I'll just stick with the Answers product? And Howard, just your thoughts on the need – further development plans for Answers, what else would you like to do or needs to be done with the product? And then I just want to make sure I understand how you're quantifying the success of Answers to date? You're saying there are 29 deals that you've signed one – with Answers for more than – that worth more than $1.5 million. And how does that compare, this must be – I don't think it's apples-to-apples with the 25 million – I'm sorry, the $25 million-plus deals that you've done in the quarter. Could you just quantify again the traction you've had with Answers, I must have misheard it?
Howard Lerman: That's right. So we've sold 29 Answers deals that are more than $1.5 million of new ACV. So what's exciting is that all of a sudden, we now have a ton of new accounts that we can go after that never could have purchased our Listings product, but now can purchase our Answers product. We estimate that the introduction of Yext Answers has roughly doubled our TAM. It certainly roughly doubled the number of customers that we can potentially go after, for example, in the CPG vertical, where you have a brand like Campbell Soup. They never had physical store locations, but they still do want to be able to answer the questions that people have about their soups on their website. And so as we've gotten into these new industries and verticals, the TAM, the ability to go after this stuff is much bigger. You also, Mark asked, I think, about what we want to do next. Gosh, we – one of the coolest things, like I said, we've got now a real-time view into what people are searching for around the world, numbering in the millions of searches that we see coming through, which is how we were able to quickly see these searches for coronavirus. At the same time, a huge part of what we want to do is be a global company. And right now, Answers is only available in English. So we've got to get answers ready for prime time in our European markets, in our Japanese market, where the demand is strong, and the questions are still being asked, and we want to be there to provide the answer.
Mark Mahaney: And the length of time it takes to localize Answers into local languages, Japanese, German or whatever, to start with, how long does that take?
Howard Lerman: Well, you'd start with the Romance languages first, then you'd probably get to Japanese and German after you've tackled French and Spanish. I think we're a couple of quarters out from having Romance ready to beta – I'm sorry, ready to go. I think we're closer to that than – closer than two quarters to having it in beta. We launched Answers in beta in the UK last year at EXPLORE, where we signed up some early customers. The idea would hopefully be to do the same thing in Romance sometime in the spring and then maybe get it to fall, and then Japan and German will fall after that.
Mark Mahaney: Okay. Thank you, Howard.
Operator: The next question is from Tom White with D.A. Davidson. Please go ahead.
Thomas White: Great. Thanks for taking my question. Just, first off, on the comments about coronavirus. It sounds like the pipeline is really strong entering the quarter. But Steve, maybe you can just clarify kind of what, if anything, is kind of contemplated in kind of the first quarter outlook or the full-year outlook? I mean, have you guys seen any kind of weakening or softening interest from prospects to take meetings, that sort of thing? And what do you have factored in? And then just the comment about Massage Envy, and I think you said $7 million of incremental revenues in the first 30 days. Can you just give a little bit more color on exactly what's driving that? Curious if Massage Envy is kind of – what learnings are they taking from the product? How are they optimizing to kind of maximize that incremental revenue lift? Thanks.
Howard Lerman: Do you want to start with Massage Envy?
Steven Cakebread: Yes, you do the Message Envy, and then I'll do the…
Howard Lerman: COVID-19?
Steven Cakebread: Yes.
Howard Lerman: Okay. Well, look, Massage Envy is using our full platform, the search experience cloud on our Pages and our Answers. And like we quantified for the conversion rates we see from IHA, when users get the right answers to the questions that they're asking, they're more likely to stick and transact. And so given our conversion tracking product, a customer can now see the exact transactions, probably in the case of Massage Envy, its appointments booked for massages, and they know what that's worth. And they're able to see what they got prior to using the Yext platform. They put us live, and then they can look at the number of appointments they get after it and track the incremental revenue flowing through.
Steven Cakebread: Right, because we added a new feature this quarter in terms of Conversion Tracking. So it's really going to help people, like, Massage Envy understand the results of the searches that they're getting. On to guidance and contemplation, as you well know, COVID-19 is coming at us fairly quickly. Our guidance for Q1 and for the full-year right now just assumes business as usual. There's no significant impacts that we're seeing at the moment on our business. Our pipelines have been strong. That said we all, like you, watch the news, look at tracking in terms of case outbreak, et cetera. So we're watching it. But right now, we're not seeing any impact from our business on this particular set of issues. But we're also not naive to believe that things aren't going to happen. So suffice it to say, as I said in my introduction to the guidance, this is business as usual for us right now. But we'll certainly keep you posted if things start to change.
Thomas White: Okay. Thank you.
Operator: The next question is from Koji Ikeda with Oppenheimer. Please go ahead.
Koji Ikeda: Hi. Thanks for taking my questions. A question here on Answers. Now that it's been out in the market for a couple of months and the sales organization has had some time to digest the demand out there for the product. I guess what's the right way to think about the sales cycles for an Answers-only deal, both from an enterprise perspective and a mid-market perspective? And then maybe from a customer that is looking to pick up the entire Yext Search Experience Cloud.
James Steele: Sure. Hey, Koji. It's Jim Steele. So I'll use another example, Vanguard Investments. So Vanguard was not really even a prospect of ours or an opportunity for us in the past. They have call centers. They have robo-advisers. They don't have locations that people go to, but they have amazing services that they want the world to know about like life events, saving for college, buying a second home, wedding planning, and they track like market trends, things like trade wars and elections, all the things that people do searches on. So they contacted us and said, "Hey, what can you guys do to help us here?" And in a relatively short sales cycle for an enterprise deal, which typically could be many, many months, they saw the value of leveraging. First, the Pages, kind of what I was talking about before with 16 Handles, but Pages to drive discovery and brand recognition and then Answers, once they land on the website to actually convert them. And that was a huge win for us, and one that was outside of any opportunity that we had up until Answers. So the Answers, Howard talked about it. I think we talked about the size of the TAM basically doubling, right, since we announced Answers. And it's companies like that and Campbell's in the CPG space that give us a lot of energy. And that we're excited about right now with the sales force going after it. And it's such a compelling demo when you show customers what happens on their site search. It's really – it can be very embarrassing. We try not to embarrass our customers, but we talk about the opportunity. It's so obvious, we say, is this really the experience you want, and that leads right into the search experience cloud market that we're going after now. It's so exciting because the – because no one's really solved this problem for our customers. They've done a lot of other things in marketing. They haven't fixed the site search, and this is what we're now all over with Answers. And it's nice because the combination of Listings, Pages and Answers gives them a lift in their business that they've never seen before.
Koji Ikeda: Thanks, Jim. And just one follow-up here on Answers. When you're selling it, are you finding that the buyer needs to find new budget for the product? Or is it a shift of budget that's usually good enough to get that process going. And then just one question here on the go-to-market strategy, especially with the coronavirus and especially with the reps that are out there in the field. How should we be thinking about any disruption there, especially if there are any internal travel restrictions for those reps right now? Thank you for taking my question.
James Steele: Sure. On Answers, first of all it is a whole – it can be a different buyer within the customer. The CMOs care a lot about their brand image and their website. They spend a lot of money on it. They want it to be perfect and they have lots of focus on it. So we're now in front of CMOs because we're now talking to them about their website and how we can improve the performance of the website and the discoverability and, most importantly, the conversion. Once you attract a prospect to your website, you want to schedule an appointment, you want to have them transact, you want them to move forward and pay money. So we are with a different audience. And also because it affects their website, it's an on-premise solution for them, they want to involve the IT organization. So now we're talking to CIOs. And that was not always the case before. So – but because it – we can point out that the challenges that they're having and the opportunity to generate more business, they tend to move it pretty quickly through the sales cycle. Once you actually get to those C-level executives. They make very fast decisions, and we can deploy very rapidly. So yes, we're seeing definitely a different buyer, different budgets. But based on the results so far, we're seeing a very fast sales cycle. I forgot the second part. What was the second question?
Howard Lerman: Go-to-market?
James Steele: Yes. I mean obviously, we're not – we don't want to be spending a lot of time traveling around the country and around the world with some of the challenges. So we're definitely getting creative with our sales teams and getting to their customers through video conferencing and through phone calls rather than direct visits. So I mean, this is really only a week or so that we've imposed some of these restrictions, so it's hard to tell. But customers seem to appreciate the opportunity to interact with us over videoconferencing versus face-to-face, given some of the risks involved there.
Howard Lerman: Yes. I mean Koji, let's be honest. We're doing that with investors at this point. So I think it's a broad spectrum.
Operator: [Operator Instructions] The next question is from Brett Knoblauch with Berenberg Capital Markets. Please go ahead.
Brett Knoblauch: Hi, guys. Thanks for taking my question. I guess the first one is really on maybe the pace of hiring as we go into FY 2021. Would you expect maybe something similar to this year or a deceleration as you kind of feel like you got the QCs in place that you guys need?
Howard Lerman: Well, we do have the quota-carrying headcount in place, but we're going to – as I said in previous answers, we're going to continue to hire developers and we're going to continue to hire quota-carrying headcount. But I do think that we're slightly over this big pushup. And so some of the focus is on productivity and scaling in that and it starts now. I mean, we've got an opportunity to do that. We have the base case. Clearly, Jim's answered it in the question about traveling and all that. It's great. We still have cities we have to be in though, and we need to be in there. So we're looking at distribution and territory management. But I don't think you'll see the major pushes that we've had before. We're looking at the business in terms of future impact on virus stuff, so all of that plays in. We feel really comfortable about the headcount that we have right now. Like I said, it can get us through this year easily and into next year. But hiring quota-carrying reps and hiring R&D people are still a priority for us, along with efficiency.
Brett Knoblauch: Okay. No, that's helpful. And then maybe just on the deal cycles, you guys mentioned a bit that you're seeing shorter deal cycles with Yext Answers. I guess, is there anything in particular that's driving it? Is it just may be easier to kind of show an example of, this is what your website looks like now, this is what it could look like with Answers. And it's maybe more of a compelling pitch going that route?
Howard Lerman: First off, it's an existing thing that most companies have. So there's a budget for it that's sitting there. It's on the customer's website. You can see how good it is. Quite frankly, if it's not Yext, it probably sucks. So we can show them that. And then we can give them something amazing. Increasingly, we have customers on the record with success stories that are already out there talking about the increased lift in conversion that they're seeing. You heard the IHA story that they've more than tripled or quadrupled their conversion rate right off of that. And by the way, this is the first time ever that it's been possible for a company to put up a site search box where a transaction can happen right off of a search. Think back to what search site source used to look like before Yext Answers. It was 10 blue links on a page that often were junky results that were just document search. But now when you run a search, it's a Google-like experience for your own website and a consumer can transact. They can book an appointment. They can buy a product. They can make a phone call. They can ask directions. It's like Google for your own website. And the amount of searches that we're seeing is going up too. We're seeing, like I said, already millions of searches a year. And the best measure for success are the clicks and conversion off of those searches. I think we said seven million clicks a year annualized already off of the folks that we've sort of put live already. So the success that customers are seeing is really powerful. It's easy to quantify and it's in an existing market, in an existing space, and Answers tends to lead deals for things like Pages. But ultimately, this all comes down to our platform. Ultimately, this all comes down to the Yext knowledge graph. The knowledge graph is the foundation for everything we've done. It powers Listings, it powers Pages and now it powers Answers. Structured knowledge is the future of the Internet. People have questions. Computers can understand those questions and the consumer expectation has been set to expect an answer, and it all comes from the knowledge graph. So I think we said now that we grew the number of facts in our knowledge, in the collective knowledge graph, to everybody to 277 million. That's the number of the structured facts and all the knowledge graph, that's the number I watch closely. That went up 49% year-over-year indicating the number of structured facts, customers are putting into our platforms so that they can answer questions.
Brett Knoblauch: Great. Thanks, Howard.
Howard Lerman: Thanks, Brett.
Steven Cakebread: Thank you, Brett.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dominic Paschel for any closing remarks.
Dominic Paschel: Thank you, Gary. We appreciate everyone tuning in today. Obviously, we're going to be a little bit more virtual over the next 30 to 60 days. So we encourage you guys to reach out to us, and we're happy to get on the phone or videoconference with you guys. Thank you for taking the time today. Bye-bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.